Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Alarum Technologies Fourth Quarter and Full-Year of 2023 Corporate Update Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. [Operator Instructions] This conference is being recorded today, March 14, 2024. Before we get started, I will read a disclaimer about forward-looking statements. This conference call may contain, in addition to historical information, forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and other federal securities laws. Forward-looking statements include statements about plans, objectives, goals, strategies, future events or performance and underlying assumptions and other statements that are different than historical facts. These forward-looking statements are based on current management expectations and are subject to risks and uncertainties that may result in expectations not being realized and may cause actual outcomes to differ materially from expectations reflected in these forward-looking statements. Potential risks and uncertainties include those discussed under the heading Risk Factors in Alarum's annual report on from 20-F filed with the Securities and Exchange Commission, on the March 14, 2024, and any subsequent filings with the SEC. All such forward-looking statements, whether written or oral, made on behalf of the company are expressly qualified by these cautionary statements, and such forward-looking statements are subject to risks and uncertainties, and we caution you not to play all undue reliance on these. At this time, I'd like to turn the call over to Shachar Daniel, the company's CEO. The floor is yours.
Shachar Daniel: Thank you very much and welcome everyone to Alarum Technologies' 2023 fourth quarter earnings results conference call. As is customary with me, Shai Avnit, our Chief Financial Officer. In this call, I would like to provide a brief review of our business operations, summarize our accomplishments, and then I will turn the call over to Shai, who will briefly discuss the financial results of the first quarter and full-year of 2023. Before we will open the call to questions. We are extremely pleased with our first quarter results showing growth and successful execution in every aspect of our business. Before going into more detail about the first quarter of 2023, I would like to look back at how we started this year. In the first quarter of 2023, we had two business lines: NetNut, our internet access for enterprises, and CyberKick, our internet access solution for consumers. We finished the first quarter with revenues of $5.7 million from both business segments, net loss of $700,000, and positive adjusted EBITDA of $60,000. The first quarter was also the first time we announced positive cash flow for operating activities. When we started 2023, we began our path to profitability strategy. By the end of the second quarter, following consideration of the current market environment, we made a decision to downside our investment in the consumer business and measure that we believed to bear a positive impact to the company. During the third quarter, we focused all our efforts in supporting NetNut and our data collection solution business. We paused all investments in customer acquisition in the consumer business and sold our cybersecurity business. As a result, the third quarter marked an historic moment in the company's journey as we become profitable with $1.1 million in net profit. From being on the path to profitability, we became profitable and proven our strategy to be the right one for the company. We announced today that we finished first quarter with revenues of $7.1 million and a record net profit that continued to grow reaching to a record of $1.7 million. The revenues for the first quarter represent not only a record quarter, but a quarter that surpassed the revenues generated from both business lines at the beginning of 2023 and demonstrated the strength of NetNut and our business. In the last two years, NetNut has experienced considerable expansion, including 2021 with revenues of $6.3 million and showing all the way to $21.3 million by 2023. We are delighted with these outcomes, which reflect our intense effort and commitment to the prosperity of our business. Moreover, we begin the year 2024 witnessing high growth and setting new monthly revenue records in January and February. We are proud of our current strong financial stability, the fact that we are profitable and we don't have to rely on raising funds to support and sustain our operations going forward. 2023 was a turning point for our that now focused only NetNut and the expansion of our product offerings. Today, NetNut is one of the strongest brands in the world of the IPPM, known for its fast, advanced and secure network. NetNut platform is based on our proprietary reflection technology. Our hybrid network infrastructure comprises of more than 1,000 servers and over 700 proxy servers deployed around the globe connected to 52 million IPs of various types, including ISPs and data center IPs in leading data centers, all together providing full global coverage. During 2023, we entered new market segments including AI-powered sales intelligence, fintech and AI recruiting markets in winning new leading customers across the board. Building on our network success, we began to expand our product offering in 2023, hiring new talents for our research and development with the goal of delivering innovative and disruptive products to the data collection market. The first product we introduced during 2023 is the Google SERP Scraper API, our first data collector providing enterprises innovative suite analysis tools on-demand data access. The SERP Scraper API delivers real-time structured data from global search engines tailored to enterprise needs. Our second product release is the innovative website Unblocker, it’s designed to allow automated data collection tools access to public phasing web data without being tagged by anti-bot and bot management solutions. Our latest announcement was the revolutionary AI-data collector product line. This product line will be one of our growth engines for the upcoming years. It's an important milestone in NetNut’s roadmap to securing each share of the data collection market and will disrupt current web data collection methods and allow users to scrape the internet data tailored to their specific requirements. With an intuitive no-code interface, the new AI-data collector will enable users to effortlessly generate data collection within minutes. The product's advanced AI will automatically adapt to website changes, ensuring continuous data collection without any downtime. Furthermore, NetNut proprietary and blocking technology will provide seamless access to web data, which will allow uninterrupted data exception at any scale. Users will simply be required to input the target URL, select the desired data subjects, set the range of timing, and choose the preferred download format. We are excited about our new data collection product offering and have started to market the two first products to our existing and new customers, while beginning great positive feedbacks. Starting today, we plan to update on a quarterly basis our customer retention rate NRR. NetNut NRR were 153% as of December 31, 2023, and 144% as of September 30, 2023. We sum up the recurring revenues from existing customers for a period of four consecutive quarters and add any expansion revenue, ups, losses from those same customers during the period. Then we subtract any contraction revenue, downgrade, turn from those same customers during the same period. We then calculate the revenue from these customers during the preceding four quarters and divide this total by the recurring revenues for the first period. A positive NRR indicates that existing customers are spending more overtime through either expansion or add-ons, offsetting any losses due to churn or time waste. Conversely, a negative NRR suggests that the company is losing more revenues for existing customers than it is gaining through upselling or cross-selling. Before going further, I would like to turn the call over to Shai to discuss the financials for the quarter in more detail. Shai, the stage is yours.
Shai Avnit: Thank you, Shachar. I will begin with a summary of our fourth quarter and year-end 2023 financial results, which are compared to our fourth quarter and year-end 2022 results, unless otherwise stated. Revenue for the full-year of 2023 totaled $26.5 million of which $7.1 million were earned in the fourth quarter. This represents a 39% increase, compared to the revenues from continuing operations of $18.5 million for the full-year of 2022, of which $5.1 million were earned in the fourth quarter. This sharp growth in revenue is attributed to the increase in NetNut business. Gross profit for the full year of 2023 increased to $18.8 million, of which the fourth quarter contributed $5.3 million. This compared to gross profit for the full-year of 2022 of $10.1 million, of which the fourth quarter contributed $2.8 million, representing increases of 85% and 89% respectively. These significant increases in the gross profit were primarily driven by the increasing revenues, while increasing the gross margin to more than 75%. Operating expenses totaled $24.3 million for the full-year 2023, excluding goodwill and intangible assets impairments related to the consumer Internet access activity scale down announced by the company on July 6, 2023, operating expenses amounted to $15.8 million only, this compared to operating expenses of $22.9 million in 2022. IFRS net loss from continuing operations for the full-year of 2023 totaled $5.6 million or $0.14 basic loss per ordinary share. The loss is attributed to the consumer Internet access goodwill and intangible assets impairment. This compared to IFRS net loss from continuing operations of $12.5 million or $0.39 basic loss per ordinary share in 2022. IFRS net profit from continuing operations in the fourth quarter of 2023 reached $1.7 million or $0.03 basic profit per ordinary share, compared to a net loss of $3 million or $0.09 basic loss per ordinary share in the fourth quarter of 2022. Adjusted EBITDA for the full-year of 2023 was $5.2 million, compared to adjusted EBITDA loss of $8.5 million in 2022. Adjusted EBITDA for the fourth quarter of 2023 was $2.2 million, compared to adjusted EBITDA loss of $2 million in the fourth quarter of 2022. As of December 31, 2023, shareholders equity totaled $13.2 million or approximately $2.20 per outstanding American Depository share, compared to shareholders equity of $13.3 million as of December 31, 2022. The minor change is due mainly to the goodwill in intangible assets impairment recorded in the second quarter of 2023, on one hand, offset by the September 2023 private placement and the non-IFRS earnings on the other hand. As of December 31, 2023, the Company's cash and cash equivalent balance totaled $10.9 million, compared to $3.3 million only as of December 31, 2022. And lastly, I wanted to touch base on our share count as it stands today. On an outstanding basis, we have around 62.8 million ordinary shares representing approximately 6.3 million ADS'. On a fully diluted basis, we currently have around 78 million shares or 7.8 million ADS' outstanding. With that, I'll turn the call back over to Shachar.
Shachar Daniel: Thank you, Shai. Our accomplishments in 2023 have positioned us to utilize our extensive, fast and dependable network to meet the evolving demands of the AI market. The cornerstone of all current AI solutions lies in the ability to access and extract data. AI technologies require vast amount of real time data in order to deliver good outcomes, data collection, especially our skills we developed through years of experience in the industry is something we excel at. Furthermore, we can identify future challenges for AI solutions as they become increasingly integrated into our daily lives and equipped with the necessary tools to address and provide the right solutions. With that, I would like to open the call for any questions.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting our question-and-answer session. [Operator Instructions] Our first question is coming from the line of Brian Kinstlinger with Alliance Global Partners. Please proceed with your question.
Q – Brian Kinstlinger: Great, thanks for taking my questions. My first is a financial one. Your operating margin over the last two quarters has been an impressive 22% and 24% and your revenue continues to grow. Sales and marketing expenses have been declining. My question is on the operating expenses, at what point do you expect the company will need to make meaningful investments to sustain these growth rates? Is that anytime soon?
Shachar Daniel: So first of all, you know, if you measure our operating expenses as a percentage of the revenues, so basically our plan is to stay in the same rate. As I can tell you now in the first quarter, as we see the growth and basically we stabilize our team and our operating expenses. So I don't think that there is a time in the near future that you will see that I may identify as a point that we need to increase shapely or to invest significant investments in our operation in order to support the revenues.
Brian Kinstlinger: So to be clear, you think the 24% to 25% operating margin is sustainable and you probably won't grow it that much, you'll reinvest the rest into growth, is that accurate?
Shachar Daniel: Yes.
Brian Kinstlinger: And then the net retention rate you provided 144% or 153% you provided two different ones, revenue growth is 150%. Can you share with us the customer counts what they are for NetNut and how that compares to a year ago? It sounds like much of the revenue growth is coming from the existing customer base by looking at those two metrics. And so I'm trying to understand new customer counts and maybe help us understand the evolution of a new customer is the first year, a very small contribution, then expands in the second year, maybe go over why?
Shachar Daniel: Okay. So let's start from the NRR method. So basically, the method that we choose, by the way, it's a method that lot of SaaS companies are choosing, that we make an average of four measurements, meaning we are measuring four quarters versus four quarters and then we are going back one quarter and measuring again four quarters versus four quarters and additional 2 times. And then this is the measurement. When we come to the next quarter, we will do the same. We will measure -- we will have one more measurement for this quarter and going back for four measurements and then it's called NRR point in time, meaning it's an average of four measurement. So basically, you cannot take in direct connection the gross of the revenues of 2022 versus 2023 with this measurement, because it's an average of four measurements, okay? So for your question, so I don't have the accurate numbers in front of me, but our -- I can tell you in high level that the number of customers grows in around 20% quarter-over-quarter, year-over-year. It depends, because if you remember, we have a huge variety of customers. We have customers that are paying us $5,000 a year and we have customers that are paying us $100,000 a year or more. And -- but if you will hit our new deck that we just uploaded to the website, we have a special slide that describe -- we divide the revenues according to the number of customers and you can see the split between the size of the customers and the number of the customers. If you want, we can go over it now or you can take a look later and if we have any questions, so we'll be happy to answer.
Shai Avnit: Shachar, can I edit something just to make sure...
Shachar Daniel: Yes, yes.
Shai Avnit: …to make things clear. Brian, the 144% is not 144% rise compared to the previous period, it's a 44%, okay, if you compare it to 150% rise in the revenues during [2023] (ph), you can see here quite clearly that a large bunch of it came from new customers, okay? It's not that it is only, okay.
Shachar Daniel: Thank you, Shai. Good comment.
Brian Kinstlinger: Yes. And then you've got two new products that I think you're excited about, namely the SERP Scraper and the Website Unblocker. I know it's early, but can you talk about how you expect these to drive growth? Is this 2024 event or is this more of a 2025 catalyst as they become a little bit more mature?
Shachar Daniel: Okay. So you said it's too early, so you are right. Basically it's too early for me to project, because we are just starting now our AB testing with our current customers. As I mentioned, first of all, we went out with this product because we identified the demand and the need in the market. We know that the market needs it and we think that we know exactly what it needs and why our product is innovative and basically disrupt other products in this market. We think that besides of the fact that customers will directly acquire this, will purchase this product and we will have a direct revenues from these products, we think that these products will strengthen our product portfolio. And there are some customers, maybe a lot of customers, that are looking for one vendor and they skipped us till today because we couldn't offer them the next in the data channel, the data stack, we couldn't offer the next product. So they preferred to choose another vendor that can offer them two products from one vendor. So now, besides of the direct value that we receive from these two products, we might see and we hope we expect to see more customers that will buy our IPPN products because we have this add-on of this data collection products. I think that we will start to see significant revenues. The AI Scraper, which is our main product line, we launched the product line, but we didn't launch the product yet. We are about to release this product around the third quarter. I hope we will start to see revenues in the fourth quarter and hopefully significant revenues in 2025. The Web Unblocker, we are about -- we released the beta version, it's going very well and I hope we will start to see traction in the end of this quarter, meaning second quarter, going to the third quarter and then to see more significant revenues in the last quarter of this year. So basically, this is the data that I have now, I don't want to check more than this because I might mislead you.
Brian Kinstlinger: Great. And then the last question just so I understand, the Website Unblocker, that's where you're trying to help customers scrape data from a website, but it's blocked. So this product will help unblock it so you can get from certain sites. Is that right?
Shachar Daniel: Exactly, exactly, accurate.
Brian Kinstlinger: Just wanted to make sure I understood. Okay, thank you so much.
Shachar Daniel: Thank you, Brian.
Operator: Thank you. Our next question is coming from Kris Tuttle with Blue Caterpillar. One moment please while I connect you through. Thank you, sir your line is now live.
Kris Tuttle: Hi, thanks for taking my questions. I just had a couple. One of them is, obviously, you're busy NetNut is working very well for you. What do you look at as your governors for growth for the rest of 2024? What are the limiting factors that you're working on addressing?
Shachar Daniel: The limiting factors?
Kris Tuttle: Yes. What is -- what governs your overall revenue growth this year?
Shachar Daniel: So I think that it's something that is basically by nature, we have a team. We have an infrastructure, if you heard my speech, I talk about the size of our network by the way, it's one of our major intellectual properties. The fact that we have 1,000s of servers all over the world that might serve a huge amount of data and customers. We build the team, meaning we plan the team and the network according to the projected growth that we see this year. Of course, that if something will happen and we'll see, I don't know, something a demand that we didn't imagine. So it might be that our network or the team starting from support going to R&D and others might not be able to support this amount of traffic, but I think that -- I hope that after years of experience of the team here in NetNut, we know how to plan and how to project the expected growth and the amount of traffic and customers. So I don't think it might be a bottleneck, but this is something that might be in general.
Kris Tuttle: Okay. One housekeeping question. Can you just remind us what's the difference between number of shares in the current share count and the fully diluted number?
Shachar Daniel: Yes, of course, Shai, you want to take it?
Shai Avnit: Yes. Basically, it includes two kind of securities that are not outstanding. One of them is the stock option plan for employees and consultants. We have allocated options and RSUs to our employees. And this amount to, I believe, around 700,000 or 800,000...
Shachar Daniel: Shai, just one, everything is in front of me...
Shai Avnit: It's more than 800,000, I believe, Shachar?
Shachar Daniel: 700,013 for the employees.
Shai Avnit: And the other part are series of warrants to investor that came from previous rounds back in 2020 until 2023. Most of them by the way are far out of the money. Shachar can elaborate.
Shachar Daniel: Yes. So we have 650,000 from this kind of warrants, the weighted average excess as far is $40 and the rest is around 900,000 belong to the employees, the employees option plan. And by the way, I'm inviting you also, as I talked Brian before, we have a slide in the presentation, the new one that we just uploaded to the website and you can see a pie with that describes the difference between the outstanding and the fully diluted and describes all what we said now.
Kris Tuttle: Okay I'll take a look at that. My last question is just as you look out for '24 and into '25, are there any kinds of acquisitions or technology gaps that you feel that you need to fill in order to accomplish those plans? Or do you feel like right now you guys have everything you need in-house with your current resources to achieve your plans over the next 12 to 18 months?
Shachar Daniel: Okay. So the -- first, I will answer in a very simple way. The answer is yes. Currently, we have everything we need in order to support our growth engines and our revenues and all the products and the technologies that I just described in my [speech] (ph). But it doesn't say that over the time, we might find something interesting, something that can accelerate growth, something that can take us faster to the -- we are just investigating by the way, as I mentioned. We see huge gap in the AI market between the experts of the AI that have the algorithms to analyze data, but they need the data. And we think there is a huge gap there. We see -- we established a special committee with industry experts and we see a very interesting opportunity there. So maybe over the time, we will find something interesting that we might consider. But at this point of time, it's not the plan.
Kris Tuttle: Okay. Thanks very much for my -- taking my question.
Shachar Daniel: Thank you very much.
Operator: Thank you. Our next question is coming from Nick Peters, a Private Investor. Please proceed with your question.
Unidentified Analyst: Hi, guys. Thanks for taking my call. Obviously, great job last half year. Are you guys seeing any pricing pressure? I know when you look, say, on proxy ways, they show right data, smart proxy are cutting prices, but those look to be at the lower end, smaller customers. So are you seeing at the higher size customers at all?
Shachar Daniel: So just to make sure that I understand your question. So you are asking if we see pricing pressure, because you think that the big -- our competitors like [Indiscernible], the quiz, meaning gave lower prices, that's the question?
Unidentified Analyst: Yes, at least from what I see on the website, but again, that the lower sizes?
Shachar Daniel: No, no. So basically, the answer is no. I don't -- the answer is no because, by the way, I don't think -- it's not that I don't think. I'm not aware to the fact that they decrease prices or they cut prices, maybe for one or two products, but not something significant. And we don't -- we are not identifying at this point of time, something that is happening in this field, something that I can say that has an impact. As always, customers are negotiating and want to get the best price, but not something different from one year ago or other period.
Unidentified Analyst: Okay, excellent. And then the second part of my question is, do you foresee any changes to pricing as you add these new products on possibly to price your network a little bit cheaper and then upselling the higher value-added products over time?
Shachar Daniel: It might be one strategy, but -- okay, so it's so commercial and I prefer to keep it as a commercial issue inside, okay? Because it's part of our pricing strategy, but it might be an option, yes, but not something that we are planning to do now, but it might be an option.
Unidentified Analyst: All right, sounds good. That's all the questions I have. Thanks, guys.
Shachar Daniel: Thank you very much.
Operator: Our next question is coming from Jeff Hart with Hart Partners. Please proceed with your question.
Jeff Hart: Yes, Congratulations, Shakar. Excellent quarter. You're really executing. I just have one quick question. I see you did not renew your F1. Is there any reason for this?
Shachar Daniel: You are meaning our F3 -- the shelf perspective here? Yes, so it's expired. We did not renew it because currently, we are not planning to raise money. Although most of the companies have this F3. So basically now, we did not renew it from focus issues and others, but maybe we'll do it in the future, but basically, we didn't do it now because we don't see any point to renew it now.
Jeff Hart: All right, very good, excellent. That was my only question. Continue the great job.
Shachar Daniel: Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question is coming from the line of Robert Smith with the Center Performance Investing. Please proceed with your question.
Robert Smith: Thank you. Thanks for taking my questions and congratulations on a superb quarter. You must have a business plan, at least an annual plan, if not a 3-year plan. So how much of that could you reveal to us, I mean, as far as what you're looking for, for this year?
Shachar Daniel: So of course, yes, in details for 1 year, for two years, for three years. We did not reveal at this stage for some reasons. I guess in the coming future, we will start to expose more and more. As we are growing for example, we took it this -- we are starting now to talk about our retention and some other KPIs and measurements, you can find them in our new presentation. So at this point of time, I will not talk about numbers, but I think that in high level, yes, we are planning to keep our growth, as I mentioned in my speech, we see the first two months of 2024 are going very well and supporting our growth plans. Of course, we want to keep on the balance between growth and profitability from -- meaning the operational profit, EBITDA and other KPIs. We are pushing and investing a lot in our new and innovative product because it's the time now that according to our strategy, we are jumping to the next layer in the data stake, meaning from the IPPN to the data collection and labeling market by our scrapers and our collectors and our AI scrappers. And as I mentioned, we are recognizing the gaps in the AI world with, of course, we have customers in this space, so we know what are the gaps. And we think that we can play a significant role in this world also in the coming future. So this should be our growth engines for the next years. Besides of our current product, it is amazing growth engine as you see in our results. And this is more or less what I can say now. I hope it answered your question even a little bit.
Robert Smith: So on a serial basis you're suggesting that February was better than January?
Shachar Daniel: Yes, the question is yes.
Robert Smith: Yes. Okay. And so then stepping ahead a little to your IP situation. What are the protections that you have?
Shachar Daniel: What are in protection on our intellectual property?
Robert Smith: Well, yes.
Shachar Daniel: So we have two patents protecting us in high level. And besides, I can tell you that the barriers, the entry barriers for our market and I see it in the real life when the new players are trying to come in is the fact that beside of our technology and software, one of our major intellectual property is the network. This network, it took us -- you can see also in the results of NetNut, we lost money in the beginning, not that we lost, we invested a lot to bring talents, experts in DevOps which are very hard to hire and we built a global network with thousands of servers that can serve petas of data, which is a huge amount of data in -- with concurrent customers to give a full global -- to provide a full global coverage with high success rate, high performance, zero downtime. It's something that it takes years and a lot of know-how to achieve and to build. And the customers, by the way, are very sensitive to these KPIs, as I just described, the performance to the global coverage to the downtown to the support. So I think the best protection is the fact that it's a know-how that takes years to build.
Robert Smith: So obviously, the business is a brain game. So how about the question of hiring new personnel and research in R&D as well?
Shachar Daniel: Yes. So what's the question?
Robert Smith: Well, what kind of focus do you have on hiring new talent and how much money to be spent in R&D?
Shachar Daniel: So as I answered Brian, the analyst in the -- 1 was his first question. So we hired a few talents last year to the R&D, as we trended our human resources with great talent by the way, not only in R&D, in other also verticals and pillars like the sales and marketing, like the operation, like others. And it's basically we are trying to keep on the current EBITDA rate, meaning the ratio between the operational profit and the revenues. So I don't see any major impact on our P&L for this year, at least.
Robert Smith: In the past, you've used the term accelerating -- the growth rate is accelerating. So how far into the future do you see that kind of acceleration possibility?
Shachar Daniel: Hope for however, most of our efforts in KPIs invested a lot in the growth, it's a combination of new customers and the level of satisfaction of current customers, which come to express in the retention rate that you are measuring. Besides of it, we are investing a lot in the innovation and looking to the future what will be the next big thing for our -- the next big opportunity for our technology and product. And as I mentioned few times, we identified artificial intelligence product, AI world, as one of the big consumers for data. And we think that those together, hopefully, it will go -- we will do -- we'll have a great product. We think it can maintain and support our growth over the -- in the future.
Robert Smith: Is it a new product development and execution, what's differentiating you from the competition?
Shachar Daniel: Yes. So the AI collector should be a great competitive advantage and differentiator, the Web Unblocker that we developed basically according to our measurement and our test should be in few parameters, need to be the best in the market to disrupt the market. And some other future capabilities, but these are our two main products for this year. And hopefully, for the AI world, I think we will bring a lot of innovation and differentiation from the current market.
Robert Smith: And just finally, what would you say are your two chief concerns going forward?
Shachar Daniel: Our world is changing so fast. So, of course, we are trying to predict and project the future, what will be the challenges of our customers, how we can solve them. So if I take it to the concern side, yes, so my concern is always if something will come and we didn't project it, okay, new technology, new challenges, something will change. Something that we are at least investing a lot, talking with analysts, talking with my colleagues, reading a lot of articles and learn a lot. We are here in the company with searches and product experts that are -- we are trying to mitigate this advantage risk, but I think this is the major thing that basically concerning. And I think will concern me forever because it's part of our world that is technology world that is changing so fast.
Robert Smith: And just looking at your background and the company's domicile, do you feel in the global market that you have any particular limitation in that respect?
Shachar Daniel: No.
Robert Smith: Okay great. Well, look, I think you're doing a grand job and I wish you all the best. Good luck going forward. You're showing terrific growth.
Shachar Daniel: Thank you very much. Appreciate it. Thank you.
Operator: Thank you. It appears we have no additional questions at this time. So I'd like to pass the floor back over to Shachar Daniel for concluding remarks.
Shachar Daniel: Thank you very much. So to summarize, looking forward to 2024 with clear goals for continuing to grow our business. We plan on increasing market share in the IPPN vertical with penetration to new regions, engagement with high-profile customers and increased networks infrastructure globally. In addition, we aim to penetrate to the data collection and labeling market with our AI scraper and Web Unblocker distribution, for selling it to our current customers and target new customers. We plan on entering the data in size world and AI analysis capabilities to our data product and deliver end-to-end solution for our customers. All our businesses will keep serving our main goals of presenting solid revenue growth and profitability. Thanks, everybody, for joining us today. Appreciate it.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation and you may disconnect your lines at this time.